Analyst: Josh Golden – JPMorgan Carl Kirst – BMO Capital Markets Keith LaRose – Bradley Foster & Sargent Ross Payne – Wachovia Securities  Nathan Judge – Atlantic Equities
Operator: Good morning. My name is April and I will be your conference operator today. At this time I would like to welcome everyone to the Spectra Energy quarterly earnings call. (Operator Instructions). At this time I would now like to turn the call over to your host, Mr. John Arensdorf. Thank you. You may begin.
John: Thanks, April and good morning everyone and welcome to Spectra Energy's first quarter 2009 earnings review. We are very pleased that you could join us today. Leading our discussion today will be Greg Ebel, our President and Chief Executive Officer; and Pat Reddy, our Chief Financial Officer. Sabra Harrington, our Vice President and Controller is also with us today and available to take your questions at the end of the call. Both Greg and Pat will discuss our quarterly results and provide more color around our strategic plans to enhance the value Spectra Energy delivers to its shareholders. We will then open the lines for your questions. Before we begin, let me take a moment to remind you that some of the things we will discuss today concern future Company performance and include forward-looking statements within the meaning of the securities laws. Actual results may materially differ from those discussed in these forward-looking statements. You should refer to the additional information contained in Spectra Energy's Form 10-K and in our other SEC filings concerning factors that could cause these results to be different from those contemplated in today's discussions. In addition, today's discussion includes certain non-GAAP financial measures as defined by SEC Reg G. A reconciliation of those measures to the most directly comparable GAAP measure is available on our Investor Relations website at spectraenergy.com. With that, I will turn the call over to Greg.
Arensdorf: Thanks, April and good morning everyone and welcome to Spectra Energy's first quarter 2009 earnings review. We are very pleased that you could join us today. Leading our discussion today will be Greg Ebel, our President and Chief Executive Officer; and Pat Reddy, our Chief Financial Officer. Sabra Harrington, our Vice President and Controller is also with us today and available to take your questions at the end of the call. Both Greg and Pat will discuss our quarterly results and provide more color around our strategic plans to enhance the value Spectra Energy delivers to its shareholders. We will then open the lines for your questions. Before we begin, let me take a moment to remind you that some of the things we will discuss today concern future Company performance and include forward-looking statements within the meaning of the securities laws. Actual results may materially differ from those discussed in these forward-looking statements. You should refer to the additional information contained in Spectra Energy's Form 10-K and in our other SEC filings concerning factors that could cause these results to be different from those contemplated in today's discussions. In addition, today's discussion includes certain non-GAAP financial measures as defined by SEC Reg G. A reconciliation of those measures to the most directly comparable GAAP measure is available on our Investor Relations website at spectraenergy.com. With that, I will turn the call over to Greg.
Gregory L. Ebel: Thanks, John and good morning all. As you have seen from our earnings release this morning, Spectra Energy delivered solid ongoing first quarter results of $210 million or $0.33 per share, in line with expectations. We are cautiously optimistic about where we are today and where we are headed. And there is some good reason for that optimism. Our core fee-based businesses, storage, transmission, distribution and Canadian gathering and processing performed very well during the quarter, serving customers, connecting points of supply to points of high market demand, and putting energy to work at a time when both work and energy are critically needed. As you will recall, the overwhelming majority of this year's EBIT will come from these fee-based businesses, with less than 20% sensitive to commodity prices. We also experienced cold weather across our regions, which contributed to increased demand for our facilities. And we're off to a very good start in terms of driving home the $50 million in cost reduction that we have built into our plan. We will bring 10 expansion projects into service this year, totaling $650 million in CapEx, projects that move natural gas from robust supply areas to growing markets. And we are focused on delivering those projects on time and on budget. And we expect them to produce approximately $35 million of EBIT this year and an incremental $45 million of EBIT in 2010, for a total annual EBIT contribution of $80 million, representing a return on capital employed above our 10% to 12% target range. Thus far this year we’ve placed two of those projects into service. In April we completed the Steckman Ridge facility, which is the joint venture with New Jersey Resources, and an integral component of the Northeast energy market, serving both local distribution companies, power generators, as well as marketers and producers. Steckman Ridge, which brings 12 Bcf of new storage into service is strategically situated between new natural gas supplies from the east, Mid-Continent and Rocky Mountain areas, and enjoys close proximity to existing interstate pipelines serving the Mid-Atlantic and New England regions. In Western Canada we brought the West Doe II project into service, significantly expanding capacity at the existing plants. We built the West Doe gas plant in response to the developing Montney/Doig play at an initial capacity of about 25 million cubic feet per day. Demand for new capacity in the area grew at such a rapid rate that we increased capacity by 30 million cubic feet per day with Phase II, and we are now working on Phase III, which is a further 45 million cubic feet per day expansion. Combined the Phase II and Phase III capital expenditures are estimated at about $100 million, and will bring total capacity at the West Doe complex to about 100 million cubic feet per day. And as you may have also seen our recent announcement regarding investments we are planning to make to expand our Fort Nelson area infrastructure in support of increased volumes coming from the Horn River. Our assets are located squarely in the middle of this prolific region of British Columbia, and we are ready to take advantage of opportunities in these developing areas. Responding to strong producer interest and activity, we held an open season for incremental service, met with producers and conducted significant development efforts in the Fort Nelson area. To date we received firm commitments for 770 million cubic feet per day from eight producers. These commitments support our multi-phase expansion in the Fort Nelson area to accommodate incremental gas from the Horn River. While still in the early stages, we are very excited about this program, which will continue to add incremental earnings through 2012 and beyond. We are also taking advantage of other opportunities that are arising, opportunities that we haven't seen in quite a while. Spectra Energy Partners, our Master Limited Partnership formed for the purpose of efficiently pursuing and financing growth prospects, closed on the acquisition of Ozark Gas Transmission yesterday. This $300 million acquisition of a 565 mile, 500 million cubic feet per day pipeline represents an excellent addition to Spectra Energy's suite of pipeline assets, expanding our reach into the important supply regions of Fayetteville Shale and the Arkoma Basin. And it underlines our financial capability and flexibility to carry out discreet and manageable acquisitions despite a challenging macro environment. Our business performed well during the quarter, benefitting from strategic expansion projects, sound fundamentals, financial flexibility and a persistent focus on cost discipline. That said, we definitely felt the impact of lower commodity prices and a weaker Canadian dollar. While Field Services first quarter EBIT was lower this year, we are pleased with the results of their focused efforts to capture value in their operations and to reduce costs. During the quarter DCP's natural gas volumes gathered and processed remained strong as a result of our well connect efforts in '08. Of course, we will be watching rig counts carefully as their significant decline could affect volumes down the road. We are also watching NGL crackers as they drive demand, and we have seen a nice uptick in their utilization rates. This should reduce ethane storage levels from late 2008 peak, and supports our expectation for improving NGL pricing as the economy recovers. We are pleased with the performance, even in light of these challenging economic times, and we are well positioned to deliver on our key financial and operational goals. We are focused on controlling what we can control and excelling in those areas of influence customer service, operational excellence, targeted expansion opportunities, and of course financial flexibility. With that, I am going to turn things over to Pat who will walk you through the numbers.
J.: Well, thank you, Greg and good morning. As announced earlier today, Spectra Energy reported first quarter 2009 earnings of $298 million, or $0.47 per share, compared with $367 million or $0.58 per share in the first quarter of 2008. This quarter's results include an $85 million after-tax special item gain at Field Services. After removing the effect of this special item, and discontinued operations, ongoing earnings for the quarter were $210 million or $0.33 per share, compared with $366 million or $0.58 per share last year. Our quarterly performance is substantially on track with expectations and our business plan and we remain committed to achieving our earnings per share guidance of $1.15. Let's take a look now at our performance by business segment, beginning with U.S. Transmission. U.S. Transmission reported first quarter EBIT of $217 million compared with $226 million in the first quarter 2008. The segment benefited this quarter from business expansion projects placed into service in prior years. The increase in earnings, however, was more than offset by lower gas processing revenues of almost $30 million as a result of lower prices and volumes. Before I move on to Distribution, there are a couple of factors affecting U.S. Transmission's earnings that I want to further explain to give you a clearer understanding of our underlying businesses. These charts show U.S. Transmission EBIT adjusted for a couple of items, project development costs and processing revenues. We are adjusting for these items to more clearly show that we are realizing good growth from the expansion projects we have placed in service. Let me explain these adjustments a little bit further. First, the development costs. As we have shared with you in the past, when we start capital projects we expense the costs until we are confident the project will move forward to successful completion. At that time we reverse the expenses and capitalize those development costs. So there will be times when we record net costs and other times when we will record a net benefit. This chart removes the effect of these items and treats the costs as if it had been capitalized when incurred. This treatment clarifies year-to-year comparability of our core businesses. The second factor to consider is U.S. pipeline processing revenues. Certain gas fields that flow into Texas Eastern have their volumes processed. In early 2006 Texas Eastern increased its processing volumes after Hurricane Katrina closed the Venice gas plant, which is owned by a third party. As a result of these extra volumes and relatively high commodity prices, 2007 and 2008 include much higher than normal processing revenues. The Venice facility was restored to full operations in June of last year, but we are experiencing lower processing volumes in 2009. Our 2009 forecast reflects these lower volumes and our expectation of lower NGL prices. So in order to see a better comparison of EBIT growth from expansion projects we have adjusted 2007 and 2008 processing revenues down to the $70 million level for the charts shown here. We have also adjusted first quarter 2008 to first quarter 2009 processing levels and removed the project development costs as well. You can see here that we are actually experiencing good growth year-over-year and quarter-over-quarter in our core U.S. Transmission business after adjusting for these items. Now let's turn to our Distribution business. Distribution reported first quarter EBIT of $152 million compared with $165 million in the first quarter of 2008. Excluding the $36 million effect of the decline in the value of the Canadian dollar, earnings were $23 million higher, primarily as a result of higher storage and transportation revenue. Before I move on to Western Canada, I would like to show a comparison of Distribution's business in Canadian dollars. We invest in and finance our Canadian businesses using Canadian dollars and we earn Canadian returns. But as you know, the earnings from our Canadian businesses are converted to U.S. dollars for U.S. financial reporting purposes. This conversion at fluctuating FX rates can make comparisons challenging. But as you can see here, we are seeing nice growth at Distribution from these investments on a pure Canadian dollar basis. Now let's move on to Western Canada. Western Canada reported first quarter EBIT of $81 million compared with $129 million in first quarter 2008. Improved earnings in the gathering and processing business, resulting from higher firm contract revenue, were offset by about $40 million from lower Empress earnings and almost $20 million due to the effect of the Canadian dollar. The Empress frac spread for the quarter averaged $3.40 compared with $8.15 during last year's quarter. Again, when you look at the underlying fee-based businesses in Canadian dollars, the blue section of the bars on this page, you see strong growth in our Western Canada segment and we expect that growth to continue through increased utilization of existing facilities and the addition of new expansion projects, particularly in the Montney/Doig and Horn River Basin areas. Now let me turn to Field Services. Our Field Services segment, which represents Spectra Energy's 50% interest in DCP Midstream, reported first quarter EBIT of $150 million, which includes a $135 million pretax gain associated with units previously issued by DCP Midstream's Master Limited Partnership. Excluding that special item, the segment reported ongoing EBIT of $15 million, compared with $192 million in the first quarter of 2008. The decrease in earnings was primarily driven by lower NGL prices, which bear a close relationship to lower crude oil prices and lower realized natural gas prices. Crude oil averaged $43 per barrel during the first quarter of 2009 versus $98 per barrel during the same period in 2008. The NGL to crude oil relationship averaged 56% during this quarter 2009 versus 58% during the same period a year ago. Natural gas prices averaged slightly below $5 in the first quarter of 2009 compared with a little over $8 last year. Now let me turn to other, which is primarily comprised of our corporate costs and captive insurance. In the first quarter other reported ongoing net costs of $24 million compared with net costs of $20 million in the previous year's quarter. The next slide shows several important additional items. Interest expense for first quarter was $150 million compared with $158 million for the first quarter of 2008. This decrease is primarily from the effects of the lower Canadian dollar. On the expense side of the equation a weaker Canadian dollar lowers our expense. The tax rate this quarter was 31%, unchanged from the first quarter of 2008, and consistent with our ongoing annual forecast of 30%. Overall the Canadian currency change lowered earnings for the first quarter of 2009 by about $23 million or about $0.04 a share compared with the first quarter of 2008. As of March 31 our debt to total capitalization stood at 58%, an improvement over our year-end number, primarily as a result of our recent equity issuance. The next slide will detail Spectra Energy's liquidity position, which we believe to be a key imperative today. This slide shows that our liquidity is underpinned by four separate credit facilities totaling about $2.6 billion. Our available liquidity at March 31 is just over $2 billion, more than adequate to support our operations and our current expansion program. We continue to have good access to the commercial paper market at very attractive interest rates. And in Canada we continue to see good availability of longer-term debt at reasonable rates. I know that we have shown you a lot of details this quarter, and we hope that it will provide transparency and context around the matters we have discussed today. And with that, let me turn things back over to Greg for some closing remarks.
Patrick: Well, thank you, Greg and good morning. As announced earlier today, Spectra Energy reported first quarter 2009 earnings of $298 million, or $0.47 per share, compared with $367 million or $0.58 per share in the first quarter of 2008. This quarter's results include an $85 million after-tax special item gain at Field Services. After removing the effect of this special item, and discontinued operations, ongoing earnings for the quarter were $210 million or $0.33 per share, compared with $366 million or $0.58 per share last year. Our quarterly performance is substantially on track with expectations and our business plan and we remain committed to achieving our earnings per share guidance of $1.15. Let's take a look now at our performance by business segment, beginning with U.S. Transmission. U.S. Transmission reported first quarter EBIT of $217 million compared with $226 million in the first quarter 2008. The segment benefited this quarter from business expansion projects placed into service in prior years. The increase in earnings, however, was more than offset by lower gas processing revenues of almost $30 million as a result of lower prices and volumes. Before I move on to Distribution, there are a couple of factors affecting U.S. Transmission's earnings that I want to further explain to give you a clearer understanding of our underlying businesses. These charts show U.S. Transmission EBIT adjusted for a couple of items, project development costs and processing revenues. We are adjusting for these items to more clearly show that we are realizing good growth from the expansion projects we have placed in service. Let me explain these adjustments a little bit further. First, the development costs. As we have shared with you in the past, when we start capital projects we expense the costs until we are confident the project will move forward to successful completion. At that time we reverse the expenses and capitalize those development costs. So there will be times when we record net costs and other times when we will record a net benefit. This chart removes the effect of these items and treats the costs as if it had been capitalized when incurred. This treatment clarifies year-to-year comparability of our core businesses. The second factor to consider is U.S. pipeline processing revenues. Certain gas fields that flow into Texas Eastern have their volumes processed. In early 2006 Texas Eastern increased its processing volumes after Hurricane Katrina closed the Venice gas plant, which is owned by a third party. As a result of these extra volumes and relatively high commodity prices, 2007 and 2008 include much higher than normal processing revenues. The Venice facility was restored to full operations in June of last year, but we are experiencing lower processing volumes in 2009. Our 2009 forecast reflects these lower volumes and our expectation of lower NGL prices. So in order to see a better comparison of EBIT growth from expansion projects we have adjusted 2007 and 2008 processing revenues down to the $70 million level for the charts shown here. We have also adjusted first quarter 2008 to first quarter 2009 processing levels and removed the project development costs as well. You can see here that we are actually experiencing good growth year-over-year and quarter-over-quarter in our core U.S. Transmission business after adjusting for these items. Now let's turn to our Distribution business. Distribution reported first quarter EBIT of $152 million compared with $165 million in the first quarter of 2008. Excluding the $36 million effect of the decline in the value of the Canadian dollar, earnings were $23 million higher, primarily as a result of higher storage and transportation revenue. Before I move on to Western Canada, I would like to show a comparison of Distribution's business in Canadian dollars. We invest in and finance our Canadian businesses using Canadian dollars and we earn Canadian returns. But as you know, the earnings from our Canadian businesses are converted to U.S. dollars for U.S. financial reporting purposes. This conversion at fluctuating FX rates can make comparisons challenging. But as you can see here, we are seeing nice growth at Distribution from these investments on a pure Canadian dollar basis. Now let's move on to Western Canada. Western Canada reported first quarter EBIT of $81 million compared with $129 million in first quarter 2008. Improved earnings in the gathering and processing business, resulting from higher firm contract revenue, were offset by about $40 million from lower Empress earnings and almost $20 million due to the effect of the Canadian dollar. The Empress frac spread for the quarter averaged $3.40 compared with $8.15 during last year's quarter. Again, when you look at the underlying fee-based businesses in Canadian dollars, the blue section of the bars on this page, you see strong growth in our Western Canada segment and we expect that growth to continue through increased utilization of existing facilities and the addition of new expansion projects, particularly in the Montney/Doig and Horn River Basin areas. Now let me turn to Field Services. Our Field Services segment, which represents Spectra Energy's 50% interest in DCP Midstream, reported first quarter EBIT of $150 million, which includes a $135 million pretax gain associated with units previously issued by DCP Midstream's Master Limited Partnership. Excluding that special item, the segment reported ongoing EBIT of $15 million, compared with $192 million in the first quarter of 2008. The decrease in earnings was primarily driven by lower NGL prices, which bear a close relationship to lower crude oil prices and lower realized natural gas prices. Crude oil averaged $43 per barrel during the first quarter of 2009 versus $98 per barrel during the same period in 2008. The NGL to crude oil relationship averaged 56% during this quarter 2009 versus 58% during the same period a year ago. Natural gas prices averaged slightly below $5 in the first quarter of 2009 compared with a little over $8 last year. Now let me turn to other, which is primarily comprised of our corporate costs and captive insurance. In the first quarter other reported ongoing net costs of $24 million compared with net costs of $20 million in the previous year's quarter. The next slide shows several important additional items. Interest expense for first quarter was $150 million compared with $158 million for the first quarter of 2008. This decrease is primarily from the effects of the lower Canadian dollar. On the expense side of the equation a weaker Canadian dollar lowers our expense. The tax rate this quarter was 31%, unchanged from the first quarter of 2008, and consistent with our ongoing annual forecast of 30%. Overall the Canadian currency change lowered earnings for the first quarter of 2009 by about $23 million or about $0.04 a share compared with the first quarter of 2008. As of March 31 our debt to total capitalization stood at 58%, an improvement over our year-end number, primarily as a result of our recent equity issuance. The next slide will detail Spectra Energy's liquidity position, which we believe to be a key imperative today. This slide shows that our liquidity is underpinned by four separate credit facilities totaling about $2.6 billion. Our available liquidity at March 31 is just over $2 billion, more than adequate to support our operations and our current expansion program. We continue to have good access to the commercial paper market at very attractive interest rates. And in Canada we continue to see good availability of longer-term debt at reasonable rates. I know that we have shown you a lot of details this quarter, and we hope that it will provide transparency and context around the matters we have discussed today. And with that, let me turn things back over to Greg for some closing remarks.
Reddy: Well, thank you, Greg and good morning. As announced earlier today, Spectra Energy reported first quarter 2009 earnings of $298 million, or $0.47 per share, compared with $367 million or $0.58 per share in the first quarter of 2008. This quarter's results include an $85 million after-tax special item gain at Field Services. After removing the effect of this special item, and discontinued operations, ongoing earnings for the quarter were $210 million or $0.33 per share, compared with $366 million or $0.58 per share last year. Our quarterly performance is substantially on track with expectations and our business plan and we remain committed to achieving our earnings per share guidance of $1.15. Let's take a look now at our performance by business segment, beginning with U.S. Transmission. U.S. Transmission reported first quarter EBIT of $217 million compared with $226 million in the first quarter 2008. The segment benefited this quarter from business expansion projects placed into service in prior years. The increase in earnings, however, was more than offset by lower gas processing revenues of almost $30 million as a result of lower prices and volumes. Before I move on to Distribution, there are a couple of factors affecting U.S. Transmission's earnings that I want to further explain to give you a clearer understanding of our underlying businesses. These charts show U.S. Transmission EBIT adjusted for a couple of items, project development costs and processing revenues. We are adjusting for these items to more clearly show that we are realizing good growth from the expansion projects we have placed in service. Let me explain these adjustments a little bit further. First, the development costs. As we have shared with you in the past, when we start capital projects we expense the costs until we are confident the project will move forward to successful completion. At that time we reverse the expenses and capitalize those development costs. So there will be times when we record net costs and other times when we will record a net benefit. This chart removes the effect of these items and treats the costs as if it had been capitalized when incurred. This treatment clarifies year-to-year comparability of our core businesses. The second factor to consider is U.S. pipeline processing revenues. Certain gas fields that flow into Texas Eastern have their volumes processed. In early 2006 Texas Eastern increased its processing volumes after Hurricane Katrina closed the Venice gas plant, which is owned by a third party. As a result of these extra volumes and relatively high commodity prices, 2007 and 2008 include much higher than normal processing revenues. The Venice facility was restored to full operations in June of last year, but we are experiencing lower processing volumes in 2009. Our 2009 forecast reflects these lower volumes and our expectation of lower NGL prices. So in order to see a better comparison of EBIT growth from expansion projects we have adjusted 2007 and 2008 processing revenues down to the $70 million level for the charts shown here. We have also adjusted first quarter 2008 to first quarter 2009 processing levels and removed the project development costs as well. You can see here that we are actually experiencing good growth year-over-year and quarter-over-quarter in our core U.S. Transmission business after adjusting for these items. Now let's turn to our Distribution business. Distribution reported first quarter EBIT of $152 million compared with $165 million in the first quarter of 2008. Excluding the $36 million effect of the decline in the value of the Canadian dollar, earnings were $23 million higher, primarily as a result of higher storage and transportation revenue. Before I move on to Western Canada, I would like to show a comparison of Distribution's business in Canadian dollars. We invest in and finance our Canadian businesses using Canadian dollars and we earn Canadian returns. But as you know, the earnings from our Canadian businesses are converted to U.S. dollars for U.S. financial reporting purposes. This conversion at fluctuating FX rates can make comparisons challenging. But as you can see here, we are seeing nice growth at Distribution from these investments on a pure Canadian dollar basis. Now let's move on to Western Canada. Western Canada reported first quarter EBIT of $81 million compared with $129 million in first quarter 2008. Improved earnings in the gathering and processing business, resulting from higher firm contract revenue, were offset by about $40 million from lower Empress earnings and almost $20 million due to the effect of the Canadian dollar. The Empress frac spread for the quarter averaged $3.40 compared with $8.15 during last year's quarter. Again, when you look at the underlying fee-based businesses in Canadian dollars, the blue section of the bars on this page, you see strong growth in our Western Canada segment and we expect that growth to continue through increased utilization of existing facilities and the addition of new expansion projects, particularly in the Montney/Doig and Horn River Basin areas. Now let me turn to Field Services. Our Field Services segment, which represents Spectra Energy's 50% interest in DCP Midstream, reported first quarter EBIT of $150 million, which includes a $135 million pretax gain associated with units previously issued by DCP Midstream's Master Limited Partnership. Excluding that special item, the segment reported ongoing EBIT of $15 million, compared with $192 million in the first quarter of 2008. The decrease in earnings was primarily driven by lower NGL prices, which bear a close relationship to lower crude oil prices and lower realized natural gas prices. Crude oil averaged $43 per barrel during the first quarter of 2009 versus $98 per barrel during the same period in 2008. The NGL to crude oil relationship averaged 56% during this quarter 2009 versus 58% during the same period a year ago. Natural gas prices averaged slightly below $5 in the first quarter of 2009 compared with a little over $8 last year. Now let me turn to other, which is primarily comprised of our corporate costs and captive insurance. In the first quarter other reported ongoing net costs of $24 million compared with net costs of $20 million in the previous year's quarter. The next slide shows several important additional items. Interest expense for first quarter was $150 million compared with $158 million for the first quarter of 2008. This decrease is primarily from the effects of the lower Canadian dollar. On the expense side of the equation a weaker Canadian dollar lowers our expense. The tax rate this quarter was 31%, unchanged from the first quarter of 2008, and consistent with our ongoing annual forecast of 30%. Overall the Canadian currency change lowered earnings for the first quarter of 2009 by about $23 million or about $0.04 a share compared with the first quarter of 2008. As of March 31 our debt to total capitalization stood at 58%, an improvement over our year-end number, primarily as a result of our recent equity issuance. The next slide will detail Spectra Energy's liquidity position, which we believe to be a key imperative today. This slide shows that our liquidity is underpinned by four separate credit facilities totaling about $2.6 billion. Our available liquidity at March 31 is just over $2 billion, more than adequate to support our operations and our current expansion program. We continue to have good access to the commercial paper market at very attractive interest rates. And in Canada we continue to see good availability of longer-term debt at reasonable rates. I know that we have shown you a lot of details this quarter, and we hope that it will provide transparency and context around the matters we have discussed today. And with that, let me turn things back over to Greg for some closing remarks.
Gregory L. Ebel: Well, thanks Pat, just a couple of comments. Spectra Energy is in good shape today and we are in a good spot. Our assets connect key producing basins in the U.S. and Canada with the major consumption areas for natural gas. And we interconnect, as most of you know, with virtually every major pipeline in the U.S. and Canada. We are well positioned for future growth beyond '09. And thanks to our proximity to strong supply basins, emerging shale plays and high-growth demand markets, we will maintain our investment-grade balance sheet and the financial flexibility to respond to opportunities. And our strong stable cash flows from the fee-based businesses will enable us to continue to create value and pay an attractive dollar per share dividend. Our core fee-based businesses are experiencing steady, profitable growth. Of course, we are continually reminded by the demand growth, industry dynamics and geopolitical signals that clean, reliable and abundant natural gas is needed now and needed for the long-term, and that means the continued need for natural gas infrastructure that drives our growth. Combined, these factors, I believe, underscore our ability to execute on our plan, and deliver the operational and financial return targets that we have committed to achieve. So with that, John, maybe we can open up the lines and take your questions.
John Arensdorf: April, if you would give instructions on how to ask questions again that would be great.
Operator: (Operator Instructions). And our first question comes from Josh Golden.
Gregory L. Ebel: Good morning, Josh.
Josh Golden – JPMorgan: Good morning. You mentioned in your commentary here a solid investment-grade balance sheet. And I do see that you issued the equity in the fourth quarter. My question is, are you looking for a low triple B rating or a higher triple B, mid-triple B, where do you want to be within the triple B spectrum?
Gregory L. Ebel: Well, I think triple B flat is a good spot to be. Obviously, triple B plus would be great. And I think what you have seen is just concerns by agencies with respect to commodity prices. When I understand I think it is sector wide. But as we keep bringing on the earnings from fee-based businesses, and that is where we are making our investments, I think that will set us up well to be in that spot.
Josh Golden – JPMorgan: Have you had any conversations with them recently, the agencies?
Gregory L. Ebel: Well, you may have noticed, yes, we are always in conversation with them, or at least every quarter, and just have an update. But, yes, that has been very recent, as you saw, since they made a move to a negative outlook from the S&P side last week.
Josh Golden – JPMorgan: Right. Do you plan to have that outlook stabilized in the future?
Gregory L. Ebel: I would sure hope to. Obviously, they've got to make their call. Our belief is that the Company is set up very well for a continued stable cash flow. And as I said, continue to invest in the businesses that are non-commodity based, I think that puts us in an increasingly stable position.
Josh Golden – JPMorgan: Okay, excellent. Thank you.
Gregory L. Ebel: Thank you.
Operator: And your next question comes from Carl Kirst.
Gregory L. Ebel: Good morning Carl.
Carl Kirst – BMO Capital Markets: Thank you for the added color on the slides. That is very, very helpful. Greg, you had mentioned on DCP Midstream on the volume side that obviously we are all trying to watch the rig count here. And I kind of don't have my numbers in front of me, but can you, with respect to the volumes that we saw in the first quarter, can you compare I guess perhaps to what you are seeing in April, if you happen to have that? And also, I don't, unfortunately, remember what was sort of embedded in the original guidance expectations, but just trying to get a sense of any kind of volume delta, if you would?
Gregory L. Ebel: Yeah, I haven't seen any big change in the April numbers, but I haven't got those all in front of me actually. But again, I think we did a good job on well connects last year, and it is set up well. We expect a little bit of volume decline this year, but pretty flat. We sure didn't assume any growth in our numbers, if that helps you from that perspective. And you're right, rig counts have gone from what, about 1,500 down to about half that number. But obviously, as you see some improvement in NGL prices and things like that, you'll see greater use on the processing side. But I think it is probably early to declare victory on that front.
Carl Kirst – BMO Capital Markets: Fair enough. Thanks guys.
Operator: Your next question comes from Keith LaRose
Keith LaRose – Bradley, Foster & Sargent: The first quarter, I just wanted to get an idea from you, and more recently there seems to be a lot of indications of fuel switching going on, can you address that at all?
Gregory L. Ebel: Yeah, we haven't seen a ton. It will be interesting to see how, as we move into the summer months, whether or not you see a lot more utilization of gas-fired generation. As you know, there is a lot of gas-fired generation out there. I think the numbers are more like 25% or 30% utilization, and with the decline in natural gas prices that maybe a big move. We haven't seen it so much in terms of housing or industrial demand. The biggest insight we have on that would be our Distribution business. We have seen some declines from industrial usage, but that is not so much fuel switching, as it has been just economic challenges.
Keith LaRose – Bradley, Foster & Sargent: Thank you guys.
Gregory L. Ebel: Okay.
Operator: Your next question comes from Ross Payne.
Gregory L. Ebel: Hi Ross.
Ross Payne – Wachovia Securities: I just want to make sure that DCP's earnings are not including the pretax gain. Is that correct?
Gregory L. Ebel: That's correct. We have shown it to you both ways on that one slide Ross. I'm not sure if you've got that in front of you, but we have shown it with the $135 million gain, pretax, and then the $15 million.
Ross Payne – Wachovia Securities: Okay, that is it for me. Thanks
Gregory L. Ebel: Okay.
Operator: Our next question comes from Nathan Judge.
Nathan Judge – Atlantic Equities: Good morning, I just wanted to see if you could give us an update on some of the 2010 projects that you have in the past given us an outlook on? And then just any projects you see coming in '11, anything you see out there as far as big, large projects?
Gregory L. Ebel: Well, as we haven't seen any change on the 2010 side at this point in time, we've got a number of projects that come in. In terms of 2011, probably a little bit early. What I can say is as you look at '09 we were bringing 10 in, and the first two have happened. The others appear to be on time and on budget, so we would expect that. I think as you look out to 2011, and beyond, I guess the big question will be, how far do we go along the Fort Nelson, which could be a very, very large expansion for us. Which is obviously a fee-based activity and which, as I have mentioned in my opening comments, we've got major commitments from key producers to proceed along those lines. So we will just, we expect to move forward with that and that would be my focus in terms of 2010 and beyond that.
Nathan Judge – Atlantic Equities: Could you just comment as far as acquisitions? I know there was an acquisition at DCP Midstream. But just on pipes specifically, are there projects coming to you that you could potentially buy into or even perhaps even take over?
Gregory L. Ebel: Definitely the first and foremost core focus is in our core assets building those add-on incremental sales on Texas Eastern and at Union and Western Canada and in the Southeast. Those are the best returning projects, and I would suggest less risk. But we are definitely going to maintain the flexibility to find opportunities. And you did mention an acquisition. It was actually at SEP as opposed to DCP, but it was a very discreet project that was pipeline-based. And if some big projects come along, we will definitely look at those. And if the economics makes sense, and we feel good about the opportunities, we will consider those. But they would definitely be in the fee-based side of things. And obviously that is going to depend on being able to sign up customers, because as you know, we don't put capital in the ground until we've got long-term contracts in place. I think we are very comfortable with what we've got for this year and the look into next year. I think it is just a little bit early to be talking about 2011 and longer-term projects.
Nathan Judge – Atlantic Equities: Then just on construction costs, as far as you are seeing, have you seen any material change in labor rates, material rates, et cetera, from what you discussed in last quarter?
J.: Starting to see some of that. Of course as you may be aware for the 2009 type projects and even early 2010, a lot of that stuff you need to lock in advance. But we're definitely seeing steel prices come down. On occasion now contractors phone us as opposed to us having to track them down about opportunities to build. So I think that is all positive going forward, but I don't see those having a significant impact in the short-term on the projects that we have in place.
Patrick: Starting to see some of that. Of course as you may be aware for the 2009 type projects and even early 2010, a lot of that stuff you need to lock in advance. But we're definitely seeing steel prices come down. On occasion now contractors phone us as opposed to us having to track them down about opportunities to build. So I think that is all positive going forward, but I don't see those having a significant impact in the short-term on the projects that we have in place.
Reddy: Starting to see some of that. Of course as you may be aware for the 2009 type projects and even early 2010, a lot of that stuff you need to lock in advance. But we're definitely seeing steel prices come down. On occasion now contractors phone us as opposed to us having to track them down about opportunities to build. So I think that is all positive going forward, but I don't see those having a significant impact in the short-term on the projects that we have in place.
Nathan Judge – Atlantic Equities: Thank you, very much.
Gregory L. Ebel: Thanks Nathan.
Operator: (Operator Instructions). We have a follow up from Keith LaRose.
Keith LaRose – Bradley, Foster & Sargent: Last call you provided some color on counterparty credit quality and can you just give a value, some trend on what you're seeing there?
J.: I would say really that there hasn't been any significant changes in credit quality or in the percentage of customers that are investment-grade, or that we have security from, and so no real deterioration. That is something that we watch very carefully. Then of course as a distribution company, we keep a very close eye on customer bad debt expense, and with a view towards making sure that stays within the allowance and rates that we are able to recover from customers. We take a hard look especially for large new projects, like our Fort Nelson project that we have announced, looking at the counterparty risk there with the suppliers that sign-up for capacity. But no real changes at this point.
Patrick: I would say really that there hasn't been any significant changes in credit quality or in the percentage of customers that are investment-grade, or that we have security from, and so no real deterioration. That is something that we watch very carefully. Then of course as a distribution company, we keep a very close eye on customer bad debt expense, and with a view towards making sure that stays within the allowance and rates that we are able to recover from customers. We take a hard look especially for large new projects, like our Fort Nelson project that we have announced, looking at the counterparty risk there with the suppliers that sign-up for capacity. But no real changes at this point.
Reddy: I would say really that there hasn't been any significant changes in credit quality or in the percentage of customers that are investment-grade, or that we have security from, and so no real deterioration. That is something that we watch very carefully. Then of course as a distribution company, we keep a very close eye on customer bad debt expense, and with a view towards making sure that stays within the allowance and rates that we are able to recover from customers. We take a hard look especially for large new projects, like our Fort Nelson project that we have announced, looking at the counterparty risk there with the suppliers that sign-up for capacity. But no real changes at this point.
Keith LaRose – Bradley, Foster & Sargent: Thank you.
Operator: Our next question comes from Carl Kirst.
Carl Kirst – BMO Capital Markets: A very quick follow-up. Pat, looking out at the interest expense was a little bit better thankfully than we were expecting. I know part of that is obviously from the equity offering that you are paying down a little bit of debt. Can you tell me sort of what, with respect to what you're seeing right now, your expectation might be for the whole of the year as you're looking out at your, what your debt issuance calendar is?
J.: Sure, Carl thank you for that. It is really, the impact on the quarter was really all attributable to the FX rate and the lower cost of borrowing in Canada. Because of our equity offering we were able to pay down debt balances. We actually have had a little more debt outstanding than we budgeted, but we are borrowing at very low rates right now. We are borrowing below 1% even after two weeks on our commercial paper. And spreads have come in quite a bit. Our CDS is down to about 81 basis points. So it is really a good environment for borrowing at the moment. We have, as I showed on one of the slides, about $2.1 billion of liquidity that we can rely on during the year. We have considered up to two project financings this year. And we are going to watch market conditions for an attractive opportunity to jump in and get those project financings done, but without any pressure to do so, again, given the liquidity that we have. But kind of a favorable picture for interest rates for the full year.
Patrick: Sure, Carl thank you for that. It is really, the impact on the quarter was really all attributable to the FX rate and the lower cost of borrowing in Canada. Because of our equity offering we were able to pay down debt balances. We actually have had a little more debt outstanding than we budgeted, but we are borrowing at very low rates right now. We are borrowing below 1% even after two weeks on our commercial paper. And spreads have come in quite a bit. Our CDS is down to about 81 basis points. So it is really a good environment for borrowing at the moment. We have, as I showed on one of the slides, about $2.1 billion of liquidity that we can rely on during the year. We have considered up to two project financings this year. And we are going to watch market conditions for an attractive opportunity to jump in and get those project financings done, but without any pressure to do so, again, given the liquidity that we have. But kind of a favorable picture for interest rates for the full year.
Reddy: Sure, Carl thank you for that. It is really, the impact on the quarter was really all attributable to the FX rate and the lower cost of borrowing in Canada. Because of our equity offering we were able to pay down debt balances. We actually have had a little more debt outstanding than we budgeted, but we are borrowing at very low rates right now. We are borrowing below 1% even after two weeks on our commercial paper. And spreads have come in quite a bit. Our CDS is down to about 81 basis points. So it is really a good environment for borrowing at the moment. We have, as I showed on one of the slides, about $2.1 billion of liquidity that we can rely on during the year. We have considered up to two project financings this year. And we are going to watch market conditions for an attractive opportunity to jump in and get those project financings done, but without any pressure to do so, again, given the liquidity that we have. But kind of a favorable picture for interest rates for the full year.
Carl Kirst – BMO Capital Markets: Great, thank you.
Operator: (Operator Instructions).
John Arensdorf : Okay. If there are no further questions, thank you very much for joining us today. We appreciate it. And as always, if you have any additional questions after the call, please feel free to give either Patti Fitzpatrick or me a call. So again, thank you for joining us today.
Operator: This concludes today's conference call. You may now disconnect.
Copyright: THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY'S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY'S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY'S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!
policy:: THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY'S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY'S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY'S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!
You: THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY'S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY'S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY'S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!
may: THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY'S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY'S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY'S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!
quote: THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY'S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY'S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY'S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!
up: THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY'S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY'S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY'S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!
to: THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY'S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY'S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY'S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!
400: THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY'S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY'S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY'S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!
words: THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY'S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY'S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY'S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!
of: THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY'S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY'S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY'S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!
any: THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY'S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY'S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY'S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!
transcript: THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY'S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY'S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY'S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!
on: THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY'S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY'S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY'S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!
the: THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY'S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY'S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY'S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!
condition: THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY'S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY'S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY'S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!
that: THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY'S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY'S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY'S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!
you: THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY'S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY'S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY'S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!
attribute: THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY'S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY'S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY'S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!
the: THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY'S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY'S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY'S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!
transcript: THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY'S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY'S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY'S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!
to: THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY'S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY'S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY'S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!
Seeking: THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY'S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY'S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY'S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!
Alpha: THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY'S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY'S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY'S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!
and: THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY'S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY'S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY'S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!
either: THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY'S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY'S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY'S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!
link: THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY'S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY'S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY'S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!
to: THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY'S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY'S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY'S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!
the: THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY'S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY'S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY'S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!
original: THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY'S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY'S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY'S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!
transcript: THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY'S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY'S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY'S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!
or: THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY'S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY'S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY'S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!
to: THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY'S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY'S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY'S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!
www.SeekingAlpha.com.: THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY'S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY'S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY'S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!
All: THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY'S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY'S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY'S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!
other: THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY'S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY'S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY'S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!
use: THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY'S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY'S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY'S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!
is: THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY'S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY'S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY'S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!
prohibited.: THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY'S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY'S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY'S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!